Operator: Greetings, and welcome to the Caesarstone Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brad Cray with Investor Relations. Thank you. You may begin.
Brad Cray: Thank you, operator. And good morning to everyone on the line. I am joined by Yos Shiran, Caesarstone's Chief Executive Officer; and Nahum Trost, Caesarstone's Chief Financial Officer. Certain statements in today's conference call and responses to various questions may constitute forward-looking statements. We caution you that such statements reflect only the company's current expectations and that actual events or results may differ materially. For more information, please refer to the risk factors contained in the company's most recent annual report on Form 20-F and subsequent filings with the SEC. In addition, on this call, the company will make reference to certain non-GAAP financial measures, including adjusted net loss, income, adjusted net loss/income per share, adjusted gross profit, adjusted EBITDA and constant currency. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company's fourth quarter 2024 earnings release, which is posted on the company's Investor Relations Web site. On today's call, Yos will discuss our business activity and Nahum will then cover additional details regarding financial results before we open the call for questions. Thank you. And I would now like to turn the call over to Yos. Please go ahead.
Yos Shiran: Thank you, Brad. Good morning, everyone. Thank you for joining us to discuss our fourth quarter and full year 2024 results. Our fourth quarter results demonstrated continued progress on our strategic transformation initiatives despite ongoing challenges in the global market environment. Throughout 2024, we've made meaningful progress optimizing our operational framework and strengthening our competitive position through targeted investment in R&D, marketing and brand development. The strategic actions we have taken to enhance our operations have driven meaningful improvements in cash flow generation and working capital efficiency. We ended the year with a strong balance sheet and net cash position of $101.8 million, demonstrating our continued focus on maintaining financial flexibility. Importantly, our restructuring initiatives are on track to deliver the anticipated cost savings, positioning us to achieve substantially higher profitability as revenues recover. During 2024, we successfully executed on several key strategic priorities. First, we optimized our production footprint, now sourcing over 70% of our production from our global network of manufacturing partners compared to just 22% at the beginning of 2023. This transformation has enhanced our operational flexibility and ability to align production with demand while maintaining resilient EBITDA and gross margins even as our revenue reflects persistent global market headwinds. Second, we strengthened our innovation capabilities, particularly in expanding our crystalline silica free offering globally. We have made substantial progress in developing these products that comply with the regulatory requirements in Australia and expect to have our full collection available in that market by the end of the first quarter 2025. Third, we continue to invest in our porcelain business, which we view as an important growth driver. Given our strong conviction in the future growth potential of the porcelain market, we plan to acquire the remaining equity interest in Lioli Ceramica in the first half of 2025, increasing our ownership to 100%. Looking more closely at our fourth quarter results, revenue was $97.9 million, reflecting competition and softness across our main markets. The benefits of our enhanced operational framework were evident in our gross margin performance, which improved 130 basis points year-over-year to 19.4%. This improvement reflects the positive impact of our restructuring actions and optimized production footprint. As we look ahead to 2025, while near term market conditions remain dynamic, we are confident that our strategic initiatives and disciplined execution have created a more agile and efficient organization, ready to capitalize on market opportunities. I will now turn the call over to Nahum to review our financial results in more detail.
Nahum Trost: Thank you, Jos. And good morning, everyone. Looking at our fourth quarter results. Global revenue was $97.9 million compared to $128.5 million in the prior year quarter. Fourth quarter revenue declined by 23.8% year-over-year on a constant currency basis, reflecting lower sales volume across our markets. Revenue decline reflected softer market conditions and ongoing macroeconomic challenges across our global markets. In the US, sales were down 23.1% to $46.4 million, primarily reflecting softer market conditions and a more competitive environment. Canada sales were down 18.5% on a constant currency basis experiencing similar market dynamics as the US. Australia sales were off by approximately 37.5% on a constant currency basis, mainly reflecting slower market conditions and the transition to alternative materials that comply with new regulations. Our EMEA region saw a decline of 18.2% on a constant currency basis due to slow market conditions in the UK and our indirect EMEA business. In Israel, sales improved by 53.6% on a constant currency basis in the fourth quarter, mainly as a result of improved market conditions and favorable year-over-year comparisons as Q4 2023 marked the beginning of the war on terror with significantly reduced activity in the region. Looking at our fourth quarter P&L performance. Gross margin in the fourth quarter improved to 19.4% compared to 18.1% in the prior year quarter. Adjusted gross margin improved to 19.7% compared to 18.9% in the prior year quarter. The improvement in gross margin was mainly due to the benefits of an improved production footprint, partially offset by the unfavorable product mix and lower production, resulting in lower fixed cost absorption. Operating expenses in the fourth quarter were $41.9 million or 42.9% of revenue. This compared to $56.5 million or 43.9% of revenue in the prior year quarter. During the quarter, we recorded $7.8 million noncash pretax impairment and restructuring charges related to intangible assets and the Sdot Yam and Richmond Hill manufacturing facility closures. Excluding legal settlements and loss contingencies and the impairment and restructuring expenses, operating expenses were 33.3% of revenue compared to 24.3% in the prior year quarter, primarily due to lower revenues. Adjusted EBITDA in the fourth quarter was a loss of $8 million compared to a gain of $1.4 million in the prior year quarter. Now looking at our full year financial performance highlights. Sales for the full year of 2024 were $443.2 million compared to $565.2 million in 2023. On a constant currency basis, sales were down 21.5%, mainly due to lower volumes. Gross margin for the full year 2024 improved to 21.8% compared to 16.3% in 2023. Adjusted gross margin in 2024 was 22.1% compared to 17% in the prior year. The improvement in gross margin was driven by the benefits of an improved production footprint, partially offset by unfavorable product mix and lower production, which resulted in lower fixed cost absorption. Excluding legal settlements, loss contingencies and the impairment and restructuring charges, adjusted operating expenses were 29.4% of revenue compared to 24.2% in the prior year with the difference primarily attributable to lower revenues. Our full year 2024 adjusted EBITDA was a loss of $11.5 million compared to a loss of $9.4 million in the prior year. The year-over-year difference primarily reflects the impact of lower revenues, partially offset by improved gross margins from our restructuring and operational enhancement initiatives. The benefits of our restructuring actions are evident in our ability to hold adjusted EBITDA dollars roughly stable on a double digit percentage decline in revenue. Turning to our cash flow and balance sheet. We were pleased to report a second straight year of positive free cash flow, primarily driven by strong cash flow from operations. We generated positive operating cash flow of $31.9 million for the full year. This compared to $66.5 million of positive operating cash flow in the prior year. As an important point, cash flow in 2023 was entirely driven by drastic reduction in our inventory balances. During 2024, our cash flow was also driven by improvements in other working capital items. Our cash discipline allowed us to maintain a healthy financial position at year end with a total cash and short term bank deposits of $106.3 million and a total debt of $4.5 million as of December 31, 2024. This resulted in a year end net cash position of $101.8 million compared to $83.5 million as of December 31, 2023. We remain a party to multiple silicosis claims that we are defending in the US, Australia and Israel relating to 296 injured persons. In the US, we were subject to an adverse jury decision in August 2024, which we are appealing and we settled another claim recently. As of December 31, 2024, we recorded a provision of $50 million, representing our assessment of exposure that is probable and estimable with respect to pending claims in Israel, in the United States and Australia. As of December 31, 2024, we also recorded insurance receivable for silicosis related claims totaling to $32.2 million. We estimate the loss for 18 of the remaining 120 claims in the US is only reasonably possible with a range between $0.5 million to $13 million per claim with the other 102 claims at an early stage in which the amount of the possible loss cannot be reasonably estimated at this time, given the preliminary stages, complexity of the claims and the uncertainty as to our ability and the scope of insurance coverage. However, if there is a change in the assessment of the outcome of the claims or the insurance coverage through the course of the trial processes, such changes could lead to a material and adverse impact on our business, financial position, results of operations or cash flows. Now turning to our outlook for 2025. We remain focused on driving improved performance through our restructuring and strategic initiatives. We expect to see a modest improvement in full year 2025 adjusted EBITDA compared to full year 2024 as we realize the full benefit of our cost optimization. In Q1, we expect adjusted EBITDA to be comparable to the first quarter of 2024 with the improvement expected as the year progresses. Our restructuring initiatives remain on track and we expect to realize incremental cost savings of approximately $10 million in 2025 compared to the full year of 2024. These savings reflect the successful execution of our plant closures and manufacturing optimization strategy. Looking at our gross margin, we expect continued year-over-year improvement in 2025, driven by our enhanced production footprint. We remain focused on maintaining disciplined working capital management to maximize cash flow. As we enter 2025, we are encouraged by the substantial progress we have made transforming our operational framework and optimizing our cost structure. The anticipated cost savings combined with our strong balance sheet and enhanced production flexibility provides us with a solid foundation to capitalize on market opportunities as conditions improve. We believe these structural improvements to our business model will enable us to achieve higher levels of profitability as revenues recover. With that, we are now ready to open the call for questions.
Operator: [Operator Instructions] Today's first question comes from Reuben Garner at The Benchmark Company.
Reuben Garner: Maybe to start just an update on how you're feeling about the end markets you're exposed to. Are there any signs of stabilization, how should we think about the first quarter from a revenue perspective? And then just maybe any color on the full year would be helpful.
Nahum Trost: So we see basically in Q1, the same market dynamics that we saw in Q4. And based on our seasonality, which was more evident in previous years, we expect to see a gradual improvement in the -- as the year progresses in Q2 and Q3. So yes, this is in terms of the revenues. We are taking many steps in order to improve the revenues. We see -- we expect to introduce the full collection of our zero crystalline silica in Australia by the end of Q1, which should help us to get back to our leading position in that market over the next two years. We see some positive signs from the local market here in Israel now that the war on terror has ended. So basically, those are the main things in terms of revenues.
Reuben Garner: So just to be clear, your revenue has been declining in the mid-20s the last couple of quarters on a year-over-year basis. So are you saying that we're kind of starting off the year at that level of decline as well and then maybe less of a decline as the year moves on?
Nahum Trost: We expect Q1 to be -- to reflect the same dynamics that we saw in Q4. It reflects a tough comp compared to the first half of -- compared to 2024. But as I said, as we will progress we expect to see a gradual improvement.
Reuben Garner: And then from a -- what are you seeing from a pricing standpoint, like in the down 24% number from the fourth quarter, how much of that was price versus volume declines?
Nahum Trost: We see some pricing pressure. We saw it more evident in Australia, for example. But we do see pricing pressure but this is not the most significant component. The slow market conditions, together with the higher interest rates and the inflation resulting in people or customers deferring projects or downgrading projects that they are completing during this period.
Reuben Garner: And then what's the dollar -- can you remind us what the dollar amount of savings that we'll see this year from some of the initiatives you put in place over the last year?
Nahum Trost: So overall, our savings are more than $45 million compared to 2022. The incremental savings coming mainly from the closure of the Richmond Hill plant, the incremental savings in 2025 will be around $10 million.
Operator: And ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to Yos Shiran for closing remarks.
Yos Shiran: Thank you, and thank you for your attention this morning. And we look forward to updating you on our progress next quarter. Thank you.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.